Operator: Ladies and gentlemen, thank you for standing by and welcome to the LSB Industries Inc. first quarter 2016 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the conference over to Kristy Carver, Vice President and Treasurer. You may begin your conference.
Kristy Carver: Thank you Paula. Please note that today's call will include forward-looking statements and because these statements are based on the company's current intent, expectations and projections, they are not guarantees of future performance and a variety of factors could cause actual results to differ materially. As this call will include references to non-GAAP results, please reference this morning's press release in the Investors section of lsbindustries.com for further information regarding forward-looking statements and reconciliations of non-GAAP result to GAAP result. At this time, I would like to go ahead and turn the call over to Dan for opening remarks.
Dan Greenwell: Thank you Kristy and good morning everyone. Thank you for joining this morning's 2016 first quarter conference call. I will first review the key events during the quarter, including an update on the El Dorado construction and startup and its progress. I will then discuss an update on the market outlook for each of our businesses. Mark will then review our financial results and capital structure and then I will little provide a summary of our chemical plant operational status and review our key objectives for the remainder of 2016. The first quarter of 2016 was a critical quarter for LSB and the key strategic path forward is now being realized. We have completed construction on our El Dorado ammonia plant and we are continuing our review of our strategic path forward to separate our two businesses. Early in the first quarter, we felt the impact of lower pricing in the Ag markets that carried over from the fourth quarter of 2015. Midway through the quarter, we saw strong improvement in demand and pricing as favorable weather led growers to get into the fields on an earlier than normal basis. We have finalized construction of the El Dorado ammonia plant and we are well into the startup activities. We have full operational status of the reformers and the CO2 removal system and we are in operation of the ammonia synthesis loop and activating the catalyst. Due to a power outage by the utility earlier in the week, we lost a couple of days in the startup process. The last major ammonia plant startup process is converting the ammonia gas into liquid form. We anticipate starting the ammonia refrigeration compressor this weekend, which cools and condenses the ammonia gas to liquid form. We expect to be producing full strength ammonia within two weeks if operations progress as we expect. Our El Dorado management team led by Greg Withrow and Dale Reppond have done remarkable work. The dedicated team for construction finalization and startup have been working incredible hours and we are very appreciative of their efforts. To-date, our plant startup activities have gone well. During the quarter. We also finalized the El Dorado, Arkansas property tax negotiations and program which will provide us with significant savings of property taxes each years. While this took considerable effort and cost, the tax savings will provide a very attractive payback of approximate two-and-a-half years. During the quarter, we also finalized the UAN distribution agreement with CVR Partners. We believe this new agreement will provide improved sales netback pricing on our UAN production from our Pryor facility. We believe in the near-term there may be periods when new production capacity comes online and provides a temporary surge of product to the market, which may lead to sales price fluctuations. We continue to be diligent on market pricing of ammonia and upgraded products. We anticipate chemical product volumes to the mining sector will remain low in the near-term while other agricultural and industrial chemical volumes and pricing remain reasonable. Our operational improvement efforts are yielding improved earnings in our climate control business. We increased our operating margin by 170 basis points. We expect this trend of improved earnings to continue as we implement further improvement and consolidation activities. Our typical market, our commercial markets in the climate control business remain strong while the residential markets are not as strong as we would like. We see this trend of strong markets in the commercial market continuing for the remainder of 2016. Our bookings on commercial activity remain robust. I will now turn it over to Mark to discuss our financial results and capital structure.
Mark Behrman: Thanks Dan. On page six of the presentation, we provide a consolidated summary statement of operations for the first quarter of 2016 as compared to 2015. Total net sales were down for the quarter driven by lower chemical sales which I will into some detail on the next slide. Gross profit declined disproportionately to sales primarily due to the $12 million of fees and other costs related to the one-time consulting services associated with the reduction of assessed property tax values for the El Dorado projects. We expect material savings in future periods through a reduction in property taxes paid. Overall, SG&A was in line with 2015 expense as slightly higher corporate expenses were offset by the decreased SG&A in our chemical segment. We expect full year consolidated SG&A expense to be in the range of $110 million to $415 million. Adjusted operating loss, adjusted net loss and adjusted EPS were all down for the quarter versus 2015 due to the decrease in sales and gross profit margins that I just discussed. I would like to point out that our estimated effective tax benefit rate was approximately 4% for the quarter. The primary impact was the determination that a portion of our state net operating losses would not be utilized was before expiration and therefore we established the valuation allowance accordingly. While it's unfortunate that we needed to recognize a significant portion of the full-year impact in the current quarter, we do expect our tax benefit rate to be in the same range for the full year of 2016. Page seven provides a summary of the chemical business' operating results for the first quarter of 2016 compared to the first quarter of 2015. Sales and gross profit were both down for the quarter, primarily as a result of significantly lower overall fertilizer pricing, partially offset by lower natural gas prices as feedstock at our Cherokee and Pryor facilities, lower low-density ammonium nitrate production and sales versus first quarter of 2015 where we were still under contract with Orca and we were required to pay for 60,000 tons per quarter irrespective of the amount they actually took, lower UAN and HDAN sales resulting from a slow start to the period, inventory hangover from the fourth quarter and some reluctance from buyers to pick up inventory in a declining pricing environment and lastly the previously mentioned $12 million in one-time consulting fees and other costs. As Dan mentioned earlier, we continued to experience headwinds in the mining markets, driven by decreasing coal usage which is expected to continue throughout 2016. As a result, we have revised our sales outlook for low-density ammonium nitrate sold into the mining sector from 110,000 to 135,000 tons for the year to 70,000 to 95,000 tons for the full year of 2016. We do expect increased ammonia sales of approximately 10,000 tons from previously announced guidance as a result of the lower LDAN production. Page eight provides a summary of the climate control business' operating results for the first quarter of 2016 compared to the first quarter of 2015. Sales were up for the quarter primarily from increased sales of custom air handlers, combined with increases in commercial sales of water sourcing geothermal heat pumps, offset by a decline in sales of those products in the residential sectors. Gross profit increased as a result of increased sales. But gross profit as a percentage of sales increased approximately 120 basis points as a result of operational improvements being made throughout the business. Those operational improvements, coupled with some leverage in SG&A, resulted in significant improvements in operating income and EBITDA for the quarter. Additionally, our backlog at March 31, 2016 was approximately $68 million which was up about $11 million from December 31, 2015. Page nine outlines our expected capital spending for the remainder of 2016. As previously outlined, we believe that the overall cost of the El Dorado expansion project including capitalized interest will be between $825 million to $855 million. We anticipate the remaining CapEx to the expansion project to be between $29 million to $59 million, with the difference being the contingency that we discussed of $30 million at the top end of the range. As of today, our current thinking is that we will come in towards the low end of the range. For the remainder of 2016, we have additional planned CapEx in our chemical business other than for the completion of the EDC expansion project of between $36 million to $44 million with another $7 million to $11 million in planned CapEx for both our climate control business and corporate. As I have mentioned before, some of the additional chemical CapEx may be deferred should we choose to do so without any impact on the reliability of the plants. I would also like to point out that as we near the end of the El Dorado project, we expect material increases in depreciation expenses as those estimates are placed in service. We anticipate consolidated depreciation and amortization to be $72 million to $75 million in 2016 and assuming a full year of the El Dorado expansion projects between $82 million and $85 million. Additionally, upon the completion of the El Dorado expansion projects we will no longer be capitalizing interest and therefore our net interest expense will increase. As a result, for the full year of 2016, we anticipate consolidated interest expense to be in the range of $31 million to $32 million net of capitalized interest of approximately $14 million and $45 million on an annualized basis. Moving to page 10, we outlined our free cash flow. While we had a loss for the first quarter of 2016, we did have positive operating cash flow. Additionally, we had significant capital expenditures during the period, with the majority being spent on the expansion project in El Dorado that resulted in negative free cash flow from operations for the quarter. As Dan mentioned earlier, we are in the final stages of startup of the new ammonia plant and we expect to be producing ammonia in the next several weeks. This will be a major event for us and it will result in a significant reduction in capital expenditures and we believe a significant improvement in operating results at our El Dorado facility and an overall cash flow. To that point, as discussed last quarter and in the appendix section of our earnings presentation, we have provided an EBITDA sensitivity table that outlines the annualized earnings potential of our chemical business. Page 11 outlines our capital structure as of March 31, 2016. Total cash at the end of the year was approximately $40 million with total debt of approximately $537 million excluding the unamortized discount in issuance cost associated with our debt and less the outstanding preferred stock of $210 million. Additionally at the end of the quarter, our ABL was undrawn with a little over $69 million of availability. As I indicated last quarter, we had $14 million loan related to our Marcellus shale assets coming due on April 1 and we would capital to fund the repayment. However, on April 1, we successfully refinanced $12 million of that loan. We were very happy with the outcome as it provides us with funds that we were not anticipating. As I have said previously, once the El Dorado ammonia plant is up and producing for a period of time, we intent to refinance our capital structure in order to improve liquidity and reduce our overall cost of capital. We believe that we can complete a refinancing later this year or early 2017. Please turn to page 12, where you will find a summary of our liquidity position and our cash needs for the remainder of 2016 as of March 31, 2016. Our cash needs assuming the top end of the range at the El Dorado construction were as follows. Remaining CapEx needed to complete the EDC expansion project of $59 million, other plant CapEx for chemical, climate control and corporate of $55 million, total interest and principal payments on our outstanding debt of $34 million. Therefore, the total cash needs for the remainder of 2016 assuming the high end of the plant CapEx is $148 million. I have not included dividend payments in our preferred stock as our expectation is that we will be accruing those payments in 2016. To fund those cash needs, we had cash at the end of the quarter of $40 million, additional financing on our Cogen facility of $10 million, remaining funding on our ammonia storage tank of $5 million and the balance will be funded from operating cash flow and the use of our ABL facility which as a stated earlier has $69 million availability. Keep in mind that our current thinking is that we don't anticipate spending the majority of the $30 million in contingency I have included in the numbers I just outlined and I have included the high end of the range in other planned CapEx, both of which we believe is conservative. Additionally, as I mentioned earlier, some of the chemical CapEx for 2016 may be deferred to 2017 without any impact on the reliability of the plants should we choose to do so. At this time we believe that we have sufficient liquidity to meet our cash needs for the remainder of 2016 and to effectively operate our business. Now I will turn it back over to Dan to discuss the operational status of our plants, including El Dorado and the company's goals for 2016.
Dan Greenwell: Thanks Mark. On page 13, we provide a summary of chemical plant activities and the planned turnaround timing in 2016. During these planned turnarounds, we will be making further process and equipment enhancements to ensure our onstream rates continue to improve. Page 14 describes our focus for the remainder of 2016. We have a very strong desire to improve our operating results. Further, management and our Board, as previously announced, will continue to review our strategic alternatives for our business in order to maximize long-term shareholder value. These alternatives may include asset sales and/or separation of our two businesses. Lastly, next week we will be attending the Wells Fargo Industrial and Construction Conference in New York. We will also be attending the BMO Farm to Ag Conference later this month and the Avondale Partners Industrial Conference in June. This concludes our prepared remarks. And Paula, we would like to open up the call for questions.
Operator: [Operator Instructions]. Your first question comes from Joe Mondillo of Sidoti & Company.
Joe Mondillo: Good morning everyone.
Dan Greenwell: Good morning.
Mark Behrman: How are you?
Joe Mondillo: Good. First, I just wanted to ask regarding a couple, some of the random costs. First off, the fair market value adjustment on participation rights, what is that reference to?
Mark Behrman: Yes. So our preferred stock has a 2% participation right attached to it. And as I said last quarter, we are going to mark that based on the value of that participation right, which is a direct correlation to the stock price. So as the stock moves up, we will have an expense and as the stock moves down, we will actually have an income okay.
Joe Mondillo: Okay. And then on the professional fees, you realized $3 million this quarter. How ongoing is that going to be going forward?
Mark Behrman: Well, I think that we incurred some professional fees this quarter really to upgrade our corporate governance and some of our policies and procedures. So that's more of a one-time thing. As we review our strategic alternatives, we are going to incur some professional fees and legal fees as we try and decide what path that we are going to down. So you might see some of that continue but you won't see a full $20 million.
Joe Mondillo: Okay. And then I guess, a bigger picture, in terms of the chemical segment profitability and the long-term guidance that you have provided, obviously we are approaching that getting to that profitability standpoint, but at point do you see yourself actually getting there? Do you think you can achieve an annualized run rate related to the guidance that you provided in that matrix on page 19? Are you going to be able to achieve any of that run rate in this year? Just wondering how far away we are to reaching the potential of the company? I know we haven't even really gotten the new plant online, but just wondering if you give any more color regarding that?
Dan Greenwell: This is Dan. Let me give you an update, just to make sure you are absolutely clear on the plan. We expect to be producing ammonia, full-strength ammonia within a couple of weeks. And then I think we have talked earlier that it will take us probably a short while to get it up to full production capacity at 1,150 tons a day. That will take us a little while. So I would look to the second half of the year, as we will be producing ammonia at full capacity in the second half of the year. With respect to the grid, if you want to call it, we use assume pricing in there. So if the market differs, either higher or lower, that could differ. But that's an indication of the potential earnings powers. I can't say what the market is going to do in the future, but should the market meet those pricing levels then I think our operations will function on that grid.
Mark Behrman: The only thing I would add is, as Dan said, we will be ramping up to the full 1,150 tons per day of ammonia production. But once we get the plant online and as we are producing our own ammonia versus having to purchase ammonia, we will see some significant savings. So we will start to see some of that in this quarter, but we won't see the full effect until the third quarter.
Joe Mondillo: Okay. And then I guess added to this whole equation I think you assume in that grid or that guidance grid that your onstream rates at all the plants are above 95%. So I guess that's still a big wildcard too, especially with Pryor. So I guess could you provide any color regarding that, because that's a big variable to the equation as well?
Dan Greenwell: Historically, that has been a big variable. I think we are taking and have taken actions to decrease the variability of the onstream rates of the downtime. So as you saw on the quarter, we are well above 90% on both of those plants and clearly, we believe that El Dorado will be in the high 90% and we will continue to improve those onstream rates. But yes, that does assume that rate and I think we are rapidly approaching those onstream rates. So I think the improvement activities we have taken are yielding results and we will continue to make those.
Mark Behrman: Yes. Look, if we think about the pre-plant, Cherokee was at 96% this quarter and has been 95% or above in four of the last six quarters or five of the last seven quarters. So I don't think that Cherokee would have an issue with that. As Dan said, the new plant should run. And again, the grid is really for what we can do in 2017. So I don't think we believe that the ammonia plant, the new ammonia plant at El Dorado will run below 95% in 2017. And so then we really are left with Pryor which ran at 92% this quarter. And as Dan said, we are spending a lot of time at that plant really looking at ways to improve it with expandable ways that we really plan for a turnaround. And we would expect by the beginning of 2017 for that ammonia plant to be running at 95%.
Dan Greenwell: That's correct.
Joe Mondillo: Okay. And then also Mark, in terms of the liquidity of the company with obviously you are going to be dealing with still challenged in the first half of the second quarter regarding the operations and the profitability, just given where fertilizer prices are before you get that plant up and running, given the balance sheet and such, how risky or how close are we in terms of or how much legroom do we have with liquidity in the near term? If you could provide any sort of color regarding that, that would be helpful as well?
Mark Behrman: Well, I guess the way I would answer it is, I made a statement that we feel comfortable, we have enough liquidity for 2016. So I wouldn't say that if I didn't feel comfortable.
Joe Mondillo: Okay. And then just lastly, in terms of the climate control business and the turnaround, the restructuring that we are doing there, could you just provide a little more info and exactly what you are doing? And I believe you stated that your goal is 200 to 300 basis points of margin improvement without seeing any revenue growth. Where are we? What inning are we amongst this whole plan?
Mark Behrman: Well, I don't know that I would characterize it as restructuring. I don't think we have said restructuring. I think I would characterize it as, we are making operational improvements, which are things from leveraging purchasing opportunities from line reorganization, from the consolidating facilities, things like that and just running it better. So putting a lot of focus on line organization and material purchasing and logistics. So all of those things that we said we were going to do, we said last year what we were going to do, we are doing and will continue for the rest of the year. And if you put it in an inning, I would say, I would say we are in the fifth inning.
Joe Mondillo: And so fifth inning, that means, have we realized half of the benefit of this so far? Or not really and you are probably seeing --
Mark Behrman: Well, I think we described it as 170 basis points on operating earnings that we have achieved quarter-over-quarter. So I think we are well on our way. I don't think it's an ending target. I think we will continue to look at these things and they are evergreen. So to the extent we can redesign products for ease of manufacturing, we will continue to do that. To the extent that we can leverage better sourcing, we will do that. To work on logistics, we will continue to do that. So I don't find these as, hey, we are going to stop. I think it's an ongoing process all the time.
Joe Mondillo: Okay. Great. Thanks for taking my questions. I appreciate it.
Dan Greenwell: You got it.
Operator: Your next question comes from Brent Rystrom of Feltl.
Brent Rystrom: Hi. Good morning guys.
Dan Greenwell: Good morning.
Brent Rystrom: A quick, quick questions. When you mentioned, I think Dan you had mentioned looking at the eventual separation of the businesses, are you looking literally at a separation? Or are you also looking possibly at selling climate control?
Dan Greenwell: We are looking at all options. We are looking at all options, including both of those. I think we will have to decide to sit down and come to a recommendation. I don't think favor one over the other one at this point in time. But that could change. So I know we are looking at all options, Brent.
Brent Rystrom: Okay. From Donaldsonville, CF just said this morning that Donaldsonville is now shipping UAN into the market. You had mentioned previously, you might see some near-term pricing disruption as new production comes online. Is that a reference to that? Or is that more just a general comment?
Dan Greenwell: Well, I think that plus the others. They have their Port Neal facility that should be coming online. Dyno is going to be coming online in the near-term.
Brent Rystrom: I guess what I am asking, Dan, is are you seeing that right now in the UAN markets in the southbound, are you seeing a little impact as that plant starts production?
Dan Greenwell: No, we are not. We are not seeing the impact. Keep in mind, we sell UAN out of Cherokee and Pryor. We talked about the CVR deal that we did changed over to the CVR Partners and I think we are looking to increase our netback pricings out of Pryor but we have not seen that impact that they referenced.
Brent Rystrom: All right. In chemical EBITDA sensitivity now through 2017 on page 19 that was referenced earlier, you made some comments about an assumption that sales were replaced from the mining sector with sales to the agriculture sector. Is there a favorable impact on that, from a margin perspective?
Mark Behrman: No. I think we make the assumption that the margins are pretty similar.
Brent Rystrom: All right. How is the high density AN holding up in the South because El Dorado isn't ready?
Dan Greenwell: No, the markets for high density, we have actually, it was one of our focuses late last year and this year and will continue to be. We have actually found things to be going pretty well with our high density. We are standing off to some customers we historically haven't reached out to and getting good response from. So we are regionally pleased with our high density markets and we look to expand our distribution in the high density area.
Brent Rystrom: Are you sensing that there has been a lot of leaching with all the rains? Or there might be another opportunity to hit that market again? Or is that not really?
Dan Greenwell: We see interest from a lot of folks who are putting ammonium nitrate on corn that's actually is starting to grow. So we are getting a lot of interest from that and in some areas, we traditionally haven't serviced. So I think that's an opportunity that we see probably more than anything. We haven't heard the leaching issue and that doesn't seem to have been a driver today.
Brent Rystrom: Okay. If you can clarify the timing as far as production? So is production of ammonia expected to start meaningfully one week after this weekend's ramp of the ammonia compressor? One to two weeks, is that kind of what you are saying?
Dan Greenwell: Yes. Look, we have given a range. Just as I mentioned in our prepared remarks, 40 miles away from the plant, the utility company had a major power line that went down. It took us out of operation, slowed us down for a couple of days. Things like that may occur. You have significant rain delays, if weather patterns move in. There has been a lot of rainy weather. This is probably put us behind just a little bit of where we anticipated. But I would expect within two weeks we will be making full strength ammonia out of that plant.
Brent Rystrom: And again, just to clarify, that's two weeks from posting the compressor?
Dan Greenwell: Right. Two weeks from today.
Brent Rystrom: All right. And then, can you give us a little clarity on the timing all for the two turnaround plans this fall on Pryor and Cherokee?
Dan Greenwell: Typically, they are going to be from three to four weeks each.
Brent Rystrom: Okay. Thank you very much guys.
Operator: Your next question comes from Stefan Neely of Avondale Partners.
Stefan Neely: Hi. Good morning guys. Thanks for taking my call.
Dan Greenwell: Good morning Stefan. How are you?
Stefan Neely: Doing well. So just kind of to follow-up, I wanted to talk a little bit about, you noted you are reducing your expectation for LDAN sales this year. Do you see any sort of opportunities to fill that gap, so to speak, from maybe incremental HDAN sales or ammonia?
Dan Greenwell: Yes. I mean that's clearly what we see. The mining markets, as everybody, it's well known, the coal mining market is down substantially and we don't expect that to ramp back up in 2016. So clearly, we are, as I said earlier, to last question, we are looking to ramp up our HDAN marketing efforts and distribution facility. So we are doing that. And then of course, we would anticipate selling more ammonia to the extent that we can upgrade. We also have some nitric acid customers and potential new customers that we are going after fairly aggressively. So as to the extent that we can upgrade, we will do that. And should we not, we will sell ammonia, but it's clearly our intent to expand our HDAN markets and we are going to be in HDAN and LDAN for a long time. That is a key part of our business and we are telling customers we are going to be in it for the long haul. In fact, we are expanding our distribution efforts. So that's something that we feel comfortable we can do.
Stefan Neely: Okay. Perfect. That's helpful. Going off of Brent's first question, in terms of your strategic initiatives here with splitting up the company or potentially splitting up the company, do you feel like you may need to make some strides there, potentially selling the climate business in order to complete the refinancing later this year or into 2017?
Dan Greenwell: Look, I think as I said to Brent's on earlier questions, we are looking at all options. We are not foreclosing any type of option, be it a sale, be it a separation so forth and so on. But we are looking at all options and haven't concluded on any of them and there is still work to be done.
Mark Behrman: I don't think it's a requirements for us to refinance the debt.
Dan Greenwell: No.
Stefan Neely: Okay. I would assume it would probably not hurt. My last question here, going to the climate business. We are seeing a lot of your peers in the climate business showing some pretty nice growth in sales and what not. Are you guys seeing any of that activity at all?
Dan Greenwell: Well, I think in the commercial market, we clearly are. Commercial market, what you know, is the majority of our business. In commercial market we are seeing good strength. The residential market, with the natural gas prices the way they are, I don't think people are anxious to put in a new facility. So residential side of things we haven't seen the growth or the strength of the bookings that we would have liked. So on commercial side, we like what we see. On the residential side, not so much.
Stefan Neely: Okay. Perfect. That's all I got. Thanks guys.
Dan Greenwell: Thanks Stefan.
Operator: Your next question comes from David Deterding of Wells Fargo.
David Deterding: Hi guys. Thanks for taking my questions. I look at slide 12 on sources of funds, Mark. Am I reading this right that cash on hand was $40 million and then the Cogen financing, it sounds like you have already gotten that $10 million cash in the door?
Mark Behrman: No. If you went back to last quarter, we talked about $20 million of Cogen financing. So we did close on $10 million and we are in conversations with various parties to close on another $10 million.
David Deterding: So the first $10 million is included in that $40 million figure?
Mark Behrman: Yes.
David Deterding: Okay. Perfect. And then just anecdotally, reading farm income, the lowest it's been in many, many years but it seems like farmers are still out there planting in the fields. What are you guys hearing anecdotally from your conversations with people on application rates this year and the season?
Dan Greenwell: We haven't seen substantial changes. And our customer base hasn't indicated there's substantial changes. The indications are that if you want to grow so many bushels per acre, you need nutrients to do that. And the application rates or the customer feedback we have gotten, there haven't been any substantial changes to that. And I think, earlier in the quarter and a lot of this discussion you just mentioned occurred in the fourth quarter and I would say in the first half of the first quarter. Everybody was in a sour mood. Nobody was buying anything. Prices were extremely low. And then all of a sudden, it kicked in and we saw pretty substantial increases in volumes and pricing and the market firmed up and customers really want the material. We are still seeing a good strong demand right now and we are still seeing prices that we think are reasonable.
Mark Behrman: One thing to keep in mind, we were just talking about this, export of corn is probably the largest it has been in some time and so if you look at corn futures, they have moved up some. And so as we have always said and the whole industry has really said, $4 is sort of the dividing line here. At $4 or above, the farmers mood and mentality and feelings are a whole lot better. Below $3, everyone starts to get a little cost conscious. So it's heading up to that $4 again.
David Deterding: All right. Great. Thanks guys.
Operator: Your next question comes from Roger Spitz of Bank of America Merrill Lynch.
Roger Spitz: Hi. Thanks. Good morning. Would you be able to provide any guidance on how you are thinking about 2014 CapEx?
Mark Behrman: No. We haven't really given any guidance. We don't obviously see any new construction facilities. El Dorado will be completed. But we haven't provided guidance on 2017. But obviously for doing turnarounds of Pryor and Cherokee in 2016, you wouldn't expect a substantial turnaround and El Dorado in 2017 is relatively new and you have the normal maintenance CapEx items that we go through. But we have not provided outlook or a view for 2017 yet.
Dan Greenwell: I think, Roger, what we see in the queue is that general maintenance CapEx in the chemical business will run between $40 million and $60 million.
Roger Spitz: Great. And the Zena Energy Promissory Note, $12 million, that was refilled on April 1, how should we think about that? Did you refile with another promissory note of $12 million, the same coupon or something else?
Mark Behrman: Yes. It was $12 million with the same terms.
Roger Spitz: Same terms. Okay. So you basically just pushed it out, for all intents and purposes?
Mark Behrman: Yes.
Roger Spitz: All right. Thank you very much.
Operator: Your next question comes from Matt Farwell of Imperial Capital.
Matt Farwell: Hi. Good morning. Thanks for taking my question. I just wanted to go to the sensitivity analysis, since this is so simple and elegantly done. If I could just look at the current spot prices of ammonia in roughly the $300 range in 2017, gas futures in the $3.50 range, that pinpoints around $126. Is that roughly where you are? Or does that factor in the differentials for the two commodities?
Mark Behrman: Well, I think we have said this before, we think that this is representative of how our business can perform under certain natural gas prices and certain ammonia prices, ammonia being a proxy for our other products. I don't think we are going to comment on exactly where we are in the grid. We think that this represents a pretty good picture of how our business will operate.
Matt Farwell: Okay. And then on the cash capital spend in slide nine, you don't outline any requirements for working capital and then startup costs are just general overhead, lack of overhead cost absorption while El Dorado is being ramped. Have you given any guidance on what those cost might be in the second quarter or the third quarter?
Mark Behrman: Well, I think we haven't but I think when we go three slides later and we talk about start our liquidity position and remaining sources of funds being operating cash flow, included in our operating cash flow would be expenses that would be needed to ramp up the plants.
Matt Farwell: Got it.
Mark Behrman: So we have taken that into account.
Matt Farwell: Okay. That's all I have. Thanks very much.
Mark Behrman: Thank you.
Operator: Your next question comes from Owen Douglas of Baird.
Owen Douglas: Good morning guys. Thanks for taking question here. A lot of good ones have been asked already. So I just really wanted to get a sense for, as you guys are seeing the market right now, just from the supply demand standpoint, we have better corn crop outlook, are you guys trying to see any of that play through in terms of possibly starting to get a little bit of the price support in terms of some of your products relative to the raw materials?
Dan Greenwell: Well, let me first clarify. Approximately 50% of our business is industrial business and approximately 50% of is agricultural based business on the chemical side of things. So to the extent, when you look at our product mix, ammonium nitrate, ammonia, nitric acid and UAN coming out of our plants, I think the markets we serve we know where we fit in those markets. We have a general idea who our competitors are in those markets and we feel comfortable with our position. You would always like to see prices higher, but we know we are a small producer in a big field of producers. So I think in general, we are reasonably happy with our product netback pricing. As I said earlier, we have a new UAN agreement that will be effective June 1 with the CVR Partners who will be marketing our UAN and they sell a lot of UAN into that market area and we think we will achieve a higher netback pricing than historically have on that product. So right now, I would say the new capacity coming online, you heard our comments on that. We have to watch that. But I think the market is taking that into account and then of course there is the import effect, should imports increase significantly, that will clearly have a price pressure in the market. So we have to watch that as well. But I think all-in-all, we feel the prices will be reasonable. I am not going to say they are going to be positive. I am not going to say they are negative. We think they are going to be reasonable at this point in time.
Owen Douglas: Okay. I guess I will take that and keep it moving. Thanks very much guys.
Dan Greenwell: And if we knew what prices were going to do six months from now, who knows what I would be doing.
Operator: Your next question comes from Joe Mondillo of Sidoti & Company.
Joe Mondillo: Hi guys. Just a couple of follow-up questions. First regarding pricing, do you see any other opportunities to achieve better pricing anywhere in any of the plants?
Dan Greenwell: Well, I think we mentioned it several times already on our call is, we are looking to expand our ammonium nitrate distribution. So we do think there are opportunities to increase pricing and increase volume. So I think we are undertaking strong efforts right now on the marketing side and distribution side to improve our footprint in HDAN, in high density ammonium nitrate for agricultural customers. In addition, we are working hard on LDAN too. Obviously the mining market is down. So we are putting a lot of additional effort into reaching out to folks we may not have historically reached out to. So yes, I think we are doing a lot of things to try to improve our netback pricing and our volumes.
Mark Behrman: Yes. I think the pricing in a lot of our business or at least half of our business is commodity driven. I don't know that we are going to be able to really dictate pricing. But I think volume is really the focus here.
Dan Greenwell: And as I said, 50% of our business is industrial markets and a lot of those are index based pricing, be it gas, be it Tampa, be it Gulf type related pricing. So we will be subject to those market fluctuations as well.
Joe Mondillo: Okay. And then in regard to the cost side of the chemical segment, you mentioned in the Q regarding some variable costs specifically electricity, which is a pretty big percentage of the variable cost. First off, what is the breakout of variable versus fixed? And then how much is your electricity expenses increasing this year?
Dan Greenwell: We don't provide that level of breakout nor that level of granularity on our cost. So I don't think we are going to do that at this point.
Joe Mondillo: Okay. And then just two other questions. In regard to the refinancing, could you give us a feel and what you are thinking in regard to timing? How many quarters do you think you need to see of improved cash flow and the possibility of successfully getting a refinance deal? Just any other color regarding any of that would be good.
Mark Behrman: As I said I think our goal is to try and get a refinancing done by the end of this year or early in 2017. I would tell you that a lot of that is going to be dictated by the debt markets. So in a frothy market, we will have to publish our list of a track record of cash flow down at El Dorado, than we would in a more tepid market. So I think it's going to be market driven more than anything else.
Joe Mondillo: Are you going by conversations that you have had though? Or just what you are thinking? And later this year, you will reach out, starting to reach out to bankers? Is that where we are at? Just curious.
Dan Greenwell: Look, I am not going to give you an inning that we are in on refinancing discussion. So I think Mark's comments were pretty comprehensive and we gave you our guidance on later part of the year or first of next year depending on the market. So I can t tell you what inning we are in.
Joe Mondillo: Okay. And then just lastly in regard to climate control. In terms of the 35% gross margins, 14% op margins that we saw several years ago, is that mainly a product mix, where we need to see residential and geothermal really start to come back to achieve those? Or can you do that by the operational excellence improvements that you are attempting?
Dan Greenwell: Well, I think when we saw 35% gross margins back in 2007, 2008 timeframe, there was a big ramp up in geothermal. So residential geothermal carries a significantly higher gross margin. I don't think we are going to see that, given low natural gas prices. So we will have to get there other ways. And I think even the operational initiatives that we have got underway and what we can accomplish with the business, I think it's not a stretch to say that we could get back there. But it's going to take a lot of work to do that. It's also going to be really dependent on product mix. Clearly heat pumps carry our highest margin and then we move down in margin from there with the other products. So to the extent that we can grow our heat pump business, which we believe we can, then that will help us get to that gross margin level as well.
Mark Behrman: We are going through product redesign efforts. We are going through product optimization efforts. Standardization across all the different businesses within climate control. So there are a lot of levers that we can pull and are pulling right now. As we said earlier, I think you will see a continued improvement in operating earnings from climate control and whether or now we can get back to those levels exactly, I don't know but I know we can make a lot of improvement from where we are today. And that's what we are doing.
Joe Mondillo: Okay. Great. Thanks a lot. I appreciate it.
Operator: Your final question comes from Brent Rystrom of Feltl.
Brent Rystrom: Hi. Just a couple of quick questions. I am curious, CVR Partners said that so far they haven't seen a ramp of business that would be coincidental with the six million acre ramp in corn acres. I am curious if in your plants, you have seen any reflection that would lead you to believe, because in particular, Oklahoma, Kansas, Texas were states where a lot of those acres are going to be added. I am wondering if you have seen anything in your business in the second quarter that would imply that that six million acres was indeed there.
Dan Greenwell: Well, I think we see all of our volumes being sold out. They certainly sell a lot more than we do. But we see that our volumes will be sold out and whether or not that reflects on the broader market, I can't answer that, Brent. I don't know. But from our perspective and our capacity, we feel comfortable that we will sell and move that material.
Brent Rystrom: Dan, I am not so worried about you are selling or not. I am just curious, they said that just the market didn't have the feel like it was up six million acres as far as the demand out there.
Dan Greenwell: They sell a lot more than we do and a little of a different areas. So I can't comment on their comments other than we feel comfortable that we will move our volumes and we see a good market.
Mark Behrman: We haven't seen pricing appreciation which usually comes from that increased demand.
Dan Greenwell: Right.
Brent Rystrom: Okay. And then just to clarify, probably for both of you, just because I want to make sure we are not thinking about this wrong. Both CF and CVR have said that ammonia pricing has recovered very nicely. I know you have said. But I just want to clarify, they both imply they go back to summer filed, as far as ammonia pricing compared to where we were last year on summer field. Is that somewhat similar pattern to what you have seen? So you relate to net ammonia price of $337 in the first quarter, are you seeing that come back up to where you were late last year, summer of last year?
Dan Greenwell: Well, I don't want to give you a forecast on pricing talking about specifics, but earlier in the quarter, ammonia was really suffering and we did see a strong comeback midway through the quarter and we feel pretty good about the pricing right now on the ammonia. So I would say that our sentiments are very similar to theirs.
Brent Rystrom: All right. Thank you very much guys.
Operator: This concludes the question and answer session for today's conference. I would now like to turn the floor back over to management for any additional or closing remark.
Dan Greenwell: Great. Thank you. Well, we certainly appreciate your time this morning on the conference call. As I mentioned, we will be seeing investors in the next couple of weeks at conferences and then in June. We look forward to speaking with you. And as usual, if you have any questions, feel free to give Mark or myself a call and thanks for your time this morning. We appreciate your interest. Have a good day.
Operator: Thank you. This concludes your conference. You may now disconnect.